Operator: Thank you for standing by, and welcome to ReNew Power 2Q ‘22 Earnings Call. All participants will be in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] And now, I’d like to turn the conference over to your host today, Nathan Judge. Please go ahead.
Nathan Judge: Thank you, Keith, and good morning, everyone, and thank you for joining us. Last night, ReNew Energy issued a press release announcing results for the first half and second quarter of fiscal 2022 ended September 30, 2021. A copy of the press release and the presentation are available on the Investors’ section of ReNew Power’s website at renewpower.in. With me today are Sumant Sinha, Founder, Chairman, and CEO; and Muthukumaran or Muthu, our CFO. Sumant will start the call by going through an overview of the Company and recent key highlights. Muthu will then provide an update on the quarter and then we will wrap up the call with Sumant reiterating our weather adjusted FY22 EBITDA forecast of $810 million and our megawatt operating guidance. After this, we will open the call up for questions. Please note, our Safe Harbor statements are contained within our press release, presentation materials and available on our website. These statements are important and integral to all our remarks. There are risks and uncertainties that could cause our results to differ materially from those expressed or implied by such forward-looking statements. So, we encourage you to review the press release we furnished in our Form 6-K and presentation on our website for a more complete description. Also contained in our press release, presentation materials and annual report are certain non-IFRS measures that we reconcile to the most comparable IFRS measures, and these reconciliations are also available on our website, in the presentation and in the press release and annual reports. It is now my pleasure to hand it over to Sumant.
Sumant Sinha: Yes. Thank you for that Nathan, and a good morning to everybody. We are extremely pleased to host our very first earnings call as a publicly traded company. We believe that RNW is one of the most compelling investment opportunities in the renewable energy sector today. Some of you may be new to our exciting story and we will provide a brief overview of our company and near term strategy, followed by an update on recent developments as well as deeper dive into our first half and second quarter fiscal ‘22 financial results. If we turn to the presentation and looking at our portfolio on page 5, ReNew is one of the leading renewable energy companies in India and also one of the largest renewable energy companies globally. Our scale and our vertical integration differentiates us in multiple ways including being more efficient at lower cost, having greater access to cheaper capital, and investing for the future to retain our competitive edge in what is still a young and rapidly evolving market whilst also maintaining industry leading EBITDA margins. We now have a long track record of execution as well as delivering superior growth and returns over a long period of time. When we first started with our 25 megawatt project about a ten years ago, there were many companies that were interested in getting into the Indian renewables sector. Over time, we have been able to consistently grow faster than the industry while remaining disciplined with our capital allocation. Much of this success lies in our corporate culture of thinking ahead, making judicious investments for sustaining our competitive advantages ahead of time. And I now stress this because this is in fact a very important ingredient of our success as a company. We have renewable assets spread across the country which provides diversification and operating expertise in many states of India. By being local, we are able to capture synergies from acquisitions which most of our foreign competitors cannot avail. About two-thirds of our portfolio is operating and much of the assets that are in development already have PPAs. And I must add that our portfolio is well-balanced between solar and wind. And this expertise is critical as we look for the future where we’ll see more and more bids happening, which require a combination of both wind and solar. On page, we remain on track to deliver our previously announced guidance. As of today, we have 7 gigawatt operating, up from 6.3 gigawatts that we had operating on September 30, 2021, and we have about 400 megawatts scheduled to be commissioned in the next couple of weeks. This strategy also makes us the first company in India to now get to 7 gigawatts of commissioned renewable energy capacity. As a result, we continue to expect our FY22 adjusted EBITDA, excluding the impact of weather, which was approximately $40 million in the first half of this fiscal year so far, to be approximately $810 million, and we will have approximately 8.2 gigawatts operational by the end of this fiscal year. We want to therefore point out that 95% of our expected FY22 EBITDA is coming from operating or nearly completed capacity. We expect to deliver EBITDA of over $1.1 billion annually from our 10.3 gigawatt portfolio, which is nearly double our EBITDA that we reported last year. We are confident that achieving this growth as about $1 billion of EBITDA should be generated from commissioned projects or have a signed PPAs and are in the construction phase already. Moving into presentation on to page 7, we believe that we have a total addressable market of around $200 billion to $270 billion for generating within India. The majority of this market is in the bid market. The Indian Prime Minister at the recent COP26 summit in Glasgow, outlined a fivefold strategy, which included getting India’s non-fossil energy capacity to 500 gigawatts by 2030; two, 50% of India’s energy requirements will be met by renewable energy by 2030; three, India to reduce its committed carbon emissions by 1 billion tons by 2030; and four, carbon intensity will fall by 45% by 2030, and India to achieve net zero by 2030. These are very fundamental announcements that I think will position India very strongly on the path towards the energy transition. Today, there are about 8 to 10 gigawatts of auction scheduled over the next quarter, and there are numerous more intelligent energy solution auctions in the works. The M&A opportunity is also very large and we see around 30 to 50 gigawatts of M&A opportunities in the coming time. Currently there is about 6 to 8 gigawatts that is up for sale at this point. We have a significant amount of experience with M&A having acquired over 2 gigawatts in the last five years. A market we are also very excited about is the corporate PPA market. To be clear, this is not rooftop projects and we are supplying customers from utility scale projects. We see a corporate PPA market in India of at least 25 gigawatts over the next few years. We also continue to believe that we will be able to deliver our aspirational goal of 18 gigawatts operational by the end of FY25. And we are in fact fully funded at this point for the target to be achieved. Turning to page 8, we reiterate our commitment to our shareholders that we will be diligent stewards of your money and only invest when the expected returns on projects are above our cost of capital. Today, we have a threshold requirement of 16% to 20% equity IRRs. There are many opportunities in our view to achieve returns above our minimum thresholds. And whilst we have competitive advantages that allow us to achieve returns within our targeted ranges in the plain vanilla renewable energy projects, we expect that an increasing portion of our growth will come from areas that have higher returns and where there is less competition. We have competitive advantages in intelligent energy solutions, on the M&A side and the corporate PPA market that many of our competitors will not be able to address for some time. We have a large market share of projects that require intelligent energy solutions which have higher returns and lower levels of competition. We are also one of the best positioned to be the consolidator of choice in India, and these acquisitions have the potential to have higher returns than plain vanilla projects given the amount of synergies we are able capture as an incumbent of scale. We are also very excited about the corporate PPA market which provides significant upside to the guidance we have provided to investors. As we’ve said, we continue to be active on the M&A front as well. We have closed both of our recently announced acquisitions, a 99 megawatt hydro facility and a 260 megawatt solar project in Telangana. There are a significant amounts of assets up for sale currently and, based on the current market dynamics, we believe that we can purchase projects and achieve a better return than in the plain vanilla renewable energy market. We are on track to have 8.2 gigawatts operating by the end of this fiscal year. Currently, we have 7 gigawatts operating, as I said earlier, or about 600 megawatts more than our Capital Markets update about a month ago and we expect another 400 megawatts to be on line over the next couple of weeks. I must also say that recently we received recognition by Fortune magazine globally as being one of the top 10 global companies that will change the world. In addition, we are the only renewable energy company to have received the lighthouse award by the World Economic Forum for our proprietary development of IR technology to improve the operations of renewable energy facilities. Let me now turn it over to Muthu to discuss the quarterly results and the half year numbers. Muthu, over to you.
D Muthukumaran: Thank you. Thank you, Sumant. We have 7 gigawatts operating as of today. We were at 5.6 gigawatts at the beginning of this fiscal and are projected to end the year at 8.2 gigawatts. The 1.4 gigawatt addition was particularly commendable given the challenges of COVID and supply chain disruptions. Page 10 compares our revenues, EBITDA and cash flow to equity to the comparable period in the previous year. Our revenues, labeled total income under IFRS, in the first half of this fiscal 2022, rose 26% year-on-year, while our adjusted EBITDA increased 28% and cash flow to equity jumped 84%. Turning to page 11, which provides a reconciliation of weather adjusted EBITDA to the reported results, our weather-adjusted EBITDA in the first half of FY22 was $470 million, or about 58% of our FY22 weather-adjusted EBITDA of $810 million. Weather improved from last year although it remains below normal levels and had about a $40 million negative impact in the first six months of this fiscal year. At the moment, there is no evidence to shift our forecasts of long-term average, production levels or generation levels. We would note that our projections have been verified multiple times over the past several years, not only by us but also numerous private equity and debt investors that invested in the Company. We will continue to undertake studies to review the voracity of our wind resource forecasts. Our FY22 capacity additions remain on track to achieve our target of 8.2 gigawatt operating capacity by the end of this fiscal year. As Sumant mentioned earlier, we commissioned 400 megawatts of new capacity since the end of the quarter and also added 260 megawatts from the completed acquisition of solar assets in Telangana, bringing our total operational capacity to approximately 7 gigawatts today. Another 400 megawatts of capacity is scheduled to be finished over the next couple of weeks which bring the exit operating capacity at the end of the calendar year to 7.4 gigawatts. One of the frequent questions that we get asked is about supply cost inflation. The project costs for the megawatts that we added during the first half of this fiscal had very little impact for higher supply costs. Whilst there has been some increase in costs relative to budget for the projects we are delivering for the remainder of the year, but after considering the lower financing costs that we are realizing in the market today, we continue to expect that our projects under construction will deliver an equity IRR within our targeted range of 16% to 20%. With regard to accounts receivables, we believe that the past due DSO at the end of the second quarter 2022 is at a peak level and they will improve going forward. The combination of company initiatives, legal and regulatory proceedings, government support, improvement in electricity demand and a shift towards central government agencies that have a strong record of on time payment, all these will result in a major improvement in DSOs over the next several years. We are taking an even greater active role in managing our receivables with DISCOMs with continuous discussions and monitoring with offtakers through dedicated teams and senior management committees. We have even begun pursuing court actions for states that are particularly behind in payments and expect that over the next three months to get favorable court rulings. With regard to Andhra Pradesh, the court has scheduled the next hearing in December which we expect will be the concluding hearing. We will continue to update the market on new developments, but ultimately, we are confident in winning the case and recovering all the past due amounts. Finally, on balance sheet, we had about $1 billion of cash and cash equivalents, and our net debt stood at approximately $4.4 billion. With that, I will now turn it over to Sumant for guidance and closing remarks.
Sumant Sinha: Yes. Thanks Muthu. I am very happy to report that despite the uncertainty around supply chain issues and COVID, we continue to be on track with our guidance. For this year, we continue to expect to achieve $810 million of weather-adjusted EBITDA, $40 million is the impact of the weather so far, and have 8.2 gigawatts operational by year end. Turning to slide 15 in the presentation, we are also reiterating our guidance provided during our Capital Markets Day last month. Once our 10.3 gigawatt portfolio is completed over the next 18 months or so, we expect that EBITDA from that will be at least $1.1 billion. We expect that we will have about $5.7 billion of net debt on our books, or a 4.9x debt to run rate EBITDA leverage ratio, once the 10.3 gigawatts is completed. We expect our cash flow to equity run rate to improve meaningfully as well from $192 million in the first six months of fiscal 2022 to approximately $400 million on an annualized basis once the 10.3 gigawatts are operational. Importantly, our portfolio is fully equity funded. In fact, we do not need any new external equity for the 18 gigawatts. At 18 gigawatts, our cash flow generation should be sufficient to self fund 2.5 to 3 gigawatts of growth annually without raising any external equity. We will consider options in the future to recycle capital that could increase our growth, improve our returns and reduce risk. With this, we will be happy to take any questions. Thank you.
Operator: Thank you. [Operator Instructions] And the first question comes from Julien Dumoulin-Smith of Bank of America.
Julien Dumoulin-Smith: Thank you. Well done. And all of the many questions we had, already very visited. But Sumant, if you don’t mind going back to the prepared comments, you alluded to corporate offerings here. And frankly, given the higher energy backdrop and considerably some of the shortages highlighted of late across the country. Can you comment a bit on just how much of an uptick you are seeing there, sort of in real time and how much that could add sort of in the medium term pipeline?
Sumant Sinha: Yes, Julien, absolutely. So, you’re referring to the corporate PPAs and whether we are seeing any uptake there as a result of the power supply issues. So, the power supply disruptions are relatively short-term in nature. I would say -- supply is having been restored, post the monsoon period, we are seeing power prices having more or less settled down. Having said that, while that might not be a big -- necessarily a big driver for corporate PPAs, the reality is that there is very strong commercial rationale [Technical Difficulty] because we can [Technical Difficulty] for utility scale projects at prices which are lower than what we are able to buy from the grid. Keep in mind that in India corporate customers are charged on the higher tariffs among all customers in the country. And very frequently, corporate customers pay between let’s say $0.07 to $0.08 [Technical Difficulty] a kilowatt. Against that, we can supply this fully landed power at prices which are 15% to 20% cheaper than what they might have to pay from the grid, even if we take the lower end of that range of $0.20 [ph] or thereabout. And so, there still is a very strong commercial rationale for them to buy power directly from us. And in addition to that, as we all know that there is now an increasing ESG pressure on various corporates. Securities regulators in India recently came out with much stronger structure requirements on ESG. And all of that is therefore enhancing the transparency of what these companies are doing on the ESG front. And so, that is also putting pressure on corporate to now shift towards going green and going green wherever it is possible. And so, for us to show up with a commercially viable solution for them is being a very positive outcome from their standpoint. So, we are having a lot of conversations with corporates right now. And hopefully, you would see some more response as we go forward. But we’ve already signed up about 100 megawatts worth of PPAs with corporate customers that we have now included in our total number [Technical Difficulty] at this time. And as I said, you’ll see more progress on that front [Technical Difficulty].
Julien Dumoulin-Smith: And maybe if I can pivot here, I noticed you didn’t comment too much on the incentives from the government on building manufacturing capacity. Can you comment on the latest with respect to your own expansion plan, sizing? And how far you want to go on the vertically integrated side? Is 2 gigawatt still the number? And can you talk about the process of the government to expand the incentive structure itself? Obviously, robust demand to participate construction. And I’m curious, what are you seeing more formally now to kind of expand that?
Sumant Sinha: So, let me know if I understood the answer the question. You said -- you asked what was our current plan for solar manufacturing and what is the government doing after announcing [Technical Difficulty] Yes. Okay. So, let me answer that question -- the latter question first. So, at this point, the government has not yet made up its mind on how much to allocate to manufacturing -- subsidy quantum that we had originally announced as being $600 million. We have said that we’re going to increase the amount substantially, but we are still waiting a final decision on how much they are going to increase it by? And so, we don’t have an answer to that question yet. As you know, we had applied for 4 gigawatts of wafer, cell and module capacity under that scheme. So, we are waiting the outcome of that scheme to see what is finally decided. But we understand that the decision is fairly imminent. And I would say, by the end of this calendar year, we should be seeing the final point of view. But again, it’s government functioning, and so one can’t be 100% sure on the timing. As far as our current plans are concerned, as you know, we have announced doing a 2 gigawatt current module line. So, we are at this point moving forward with that, because regardless of whether we get the production-linked incentive or not, we believe that covering our [Technical Difficulty] IPP capacity is something that we need to do from a strategic standpoint. So, we are certainly going ahead with those plans. And we still expect our output -- to start generating by the end of next calendar year. Now, at this point, the 2 gigawatts that we are looking at will essentially cover maybe about part of our total requirement. And so, at some point in the future, we will consider whether we want to stay with that number or that potentially we might do cover a larger percentage of our total in-house [Technical Difficulty]. So that is something that we are working on at this point. We are looking at various state level incentives as well, because some of those are also changing and changing the effectiveness of setting up capacity. And so, with this coming, we will then take a call on what is the final number that we go with or we might do it in a safe way. But at this point, we’re looking at considering that 2 gigawatt capacity. [Ph]
Julien Dumoulin-Smith: And so, just quick clarification from the comments you made earlier. I think you said you’ll continue to undertake studies to review the voracity of the wind forecast. Is there a specific time line for that study, or is that more of an ongoing [Technical Difficulty]?
Sumant Sinha: So, Julien, we’re a company that we look at all the time, because that’s obviously very central to the quality of our forecast, and we want to make sure that we are as right as possible. At this point, we want to wait for the full year to finish -- the full financial year to finish and see where end up at. And then, we will engage with rate forecasting company and sit down and see whether the experience of the last two years made if any change in the forecast, and I’m sure, they will come in advance with their scientific analysis to give us answer one way or the other. And then, base on that we will take a decision on what we’re going to be done, whether it had this year and the previous year aberration to the down side of the long-term need, but our overall return was same, which we have [Technical Difficulty] long-term needs [Technical Difficulty] substantial change and we need to now factor it.  So, at this point, we don’t have any such view. And therefore, we’re maintaining our long-term forecast. And you should also keep in mind, [Technical Difficulty] year leading up to the last two years, we actually have performance which was better than -- in some years better than expected as well. We don’t want to be reactive to this issue, at the same time we want to be responsive. And so, I think we’ll wait for this year to finish before we make any assessments on this issue.
Operator: Thank you. And the next question comes from Justin Clare with Roth Capital. 
Justin Clare: Hi everyone. Thanks for taking my questions. So, I guess, just a follow-up on the last question there. I was wondering if you could give us a bit more color on the negative weather impact experienced in the first half, but just how much lower than the average were wind seen? And then also, did solar perform, as you would expect in a normal environment?
Sumant Sinha: Yes. So, Justin, I think as we said earlier, our -- the wind forecast was about -- the wind performance was about 5% lower in the [Technical Difficulty]. So, that is where we were on wind. On solar, we were approximately about 0.1% off, as far as the overall generation was concerned. So solar was more or less within the overall range that you might be expect in half a year, because ultimately this was half year period out of the full year. And it really depends on the [Technical Difficulty] months and the [Technical Difficulty] period of time. So, you would in the normal course have some degree of variability in solar as well. But, as [Technical Difficulty] few percentage points across. But the shorter it takes the time, the more [Technical Difficulty]. So, at this point I would say that solar, there is nothing to really comment about. Wind really is a [Technical Difficulty] off, against the long term need. And I should also say that at the same last year, the wind was actually off by 12% to 15% [Technical Difficulty] in the same time period. So, it’s actually retained back essentially from last year’s performance, but it’s still not comeback overall to the need level, but [Technical Difficulty].
Justin Clare: Okay, got it. That’s helpful. And then, you had talked about IRR for projects that you expect to complete this year. So, I was wondering if you could talk about the potential impact that cost inflation could have an IRR for projects in fiscal ‘23. For how many of those projects that you already locked in pricing for equipment versus how many projects you still need to procure equipment, and just what is the risk levels to the IRR for next year’s project?
Sumant Sinha: Yes. That’s of course a very important question. So, for FY22, as you know, we have more or less locked in all the CapEx, everything is more or less done. As you know, [Technical Difficulty] significant deviation from the assumptions that we had made. If anything on the existing [Technical Difficulty] there is an improvement for the [Technical Difficulty]. As far as projects to be commissioned next year are concerned, there are two different buckets, as you know, one is wind and the other is solar. On the wind projects, we have longer lead times for execution, so those projects we’ve had to lock in doing wind turbine for. And recently in those we have actually good higher CapEx than we had expected by 7% to 8%. And so, those are in fact [indiscernible] versus the capital cost that we had originally estimated, approximately 5% because the bank [ph] cost accounts for about 70% of the total cost. [Technical Difficulty] system. But, there are fees like land cost and so on, which have not accelerated. And so, the overall net increase would be a couple of percentage points lower than we expected at an aggregate [Technical Difficulty] levels. As far as solar is concerned, most of the solar execution we have to do is very back ended into next year. And we will be procuring modules for those projects only around the same time next year. And so, we have a very long gap between now and then in which we are hoping that prices will revert back to normalcy. Now, after total 2.1 gigawatt that we expect to commission towards the back end of next year, it’s roughly half wind and half solar. So, as I said, the wind part is now locked in at little bit higher prices than we’d expected. The solar part, again, the balance of system costs are not very up beating as much. And so, there we don’t expect to see any of this. On the module side, [Technical Difficulty] about 50% of total capital cost. And as you know, at this point module prices are [Technical Difficulty] estimated. We are expecting there to start connecting from the second half of next year or Chinese New Year or early next year. And as our situation in China settles down, more capacity of modules manufacturing comes back on stream and the polysilicon shortage issue [Technical Difficulty] And so, therefore we expect module prices to come back. How much it come backs, will it come back fully to the level that we are expecting? Of course, we will have wait and see. But again, keep in mind, that for all these projects, we have been able to get financing costs that are much more than what we expected. And so, therefore, notwithstanding the commodity prices, [Technical Difficulty] next 2 gigawatts that plan to commission. On our entire aggregate of projects yet to be commissioned, we actually see a very, very marginal impact on overall equity IRR because the commodity price is to offset to a large extent by reduction in interest rate.
Justin Clare: Okay. And then, maybe one more for me. So, it looks like of your committed projects, 1.2 gigawatt having LoA, but not yet PPA. Can you give us a sense for when you expect to sign those PPAs? And then, given that expectation, do you anticipate completing all of those projects that are committed right now, by the end of fiscal year ‘23 or is there some potential is that some projects move into fiscal ‘24?
Sumant Sinha: Yes. We have -- we are seeing a lot of progress on signing the PPAs and so on, on this project. And therefore, hopefully, as we [Technical Difficulty] over the next short period of time, you should see some of those PPAs converting. Some will convert sooner, some will take longer to convert. Having said that, we have basically been working -- or we’ve already started working on executing on these projects, because we have a fairly good [Technical Difficulty] eventually. And so, we are not eventually waiting for the final signing to happen. We are actually starting work on -- at least on that position and those kinds of things, which are very generic in nature, which in any cases you would have to do. And those are long lead time items as well. So, those are things that we started working on. I think your question on whether that might result in -- end of FY23, is a fair one. And I think the longer the PPAs take to get signed, the more likelihood that some of those projects might spill over into early FY24. But, I think that it should get done literately within the first six months of the calendar year 2023. Within that time period, all these projects will [Technical Difficulty] because we are here [Technical Difficulty]. So therefore, some projects should happen before end of financial year, some by couple of months here and there. It’s tough to give that assessment right now.
Operator: [Operator Instructions] And the next question comes from Angie Storozynski with Seaport.
Angie Storozynski: Thank you. So, we see some pressure put out, additional round the clock of base load winds, including you guys. I am sure you can comment on that. Secondary, during the Capital Markets Day, you talked about a battery RC. [Ph] Just wondering if there’s any resolution of that RC?
Sumant Sinha: Sorry. Angie, what was the second part of your question?
Angie Storozynski: I’m sorry. So, starting with the battery. So, I was thinking that you guys were about to select a battery provider for your existing around the clock contracts. And so, secondly, we’ve seen some press reports that you guy won an additional baseload renewable contract. And I was just wondering if you can comment on either one.
Sumant Sinha: Yes. So, there was a base -- 2,500 megawatt baseload, [Technical Difficulty] thermal base [Technical Difficulty] also based on the [Technical Difficulty] which is what we did. We qualify under the overall bucket of 2,500 megawatt. But the tender required certainly -- had a certain condition which requires us to match the lowest bidder. And the lowest bidder was in fact somewhat lower than. And at this point, we have not got a main public or a final decision on that issue. I think in the near term, we will mention on what that decision is on whether we want to match [Technical Difficulty] and go ahead or not. So, that is [Technical Difficulty]. I should say [Technical Difficulty] was lower at -- about 6% lower than where we had bid. So therefore, there is a delta between the [Technical Difficulty] So, I think in near term, we’ll find out what the final decision is on that one. But regardless of what happens in this phase, there will certainly be a number of other bids that are definitely coming out. And hopefully bids our better designed than this last one because of [Technical Difficulty] problem in this one. But, there will be a number of other bids actually coming up, because most distribution utilities really want this project now, where they get renewable energy and get high PLS. It is much more suitable for them. It does not require them to think very much about [indiscernible] and so. So, this is a project that we are really quite enthused with. So, as I said, the central government is already preparing bring out more [Technical Difficulty]. As far as your second question on battery [Technical Difficulty] with respect to our [Technical Difficulty] you’re right, [Technical Difficulty] and we’re in the process of evaluating which final company [Technical Difficulty]. We are not here again with the [Technical Difficulty]. 
Angie Storozynski: And then, just one other question about EBITDA margins, it seems like the expansion of margins is mostly a function of the growth of the full capacity, right? The economies of scale associated with basically corporate overhead. Is that fair?
Sumant Sinha: To some extent, yes, but keep in mind that our corporate overhead was very, very small percentage of our overall EBITDA. As you know, our EBITDA margins are in a 85%, 86% level, in which the O&M costs or the [Technical Difficulty] are about 8% or 9%, and the corporate overhead costs are actually maybe only a few percentage points. So, I’ll say that it really depends on how much we want to invest for future capacity building and growth. But in general, if you were to stand still, then those corporate costs [Technical Difficulty] 
Angie Storozynski: Okay. I understand. And then, one last one about the receivables, and I appreciate that you expected [ph] that they basically peak in the latest quarter. But, I mean, does that make any difference versus your projections of cash flow, the working capital element here? If you think -- if that moderation in the receivable cycles were not to happen in the second half, how would you track versus the expectations on the cash flow side?
D Muthukumaran : Yes. Hi, Angie. Thanks for the question. As far as [Technical Difficulty] if you see our retaining profile on the debt, it’s reasonably small. We are able to actually sort of 100 [Technical Difficulty] collection that we are [Technical Difficulty] and then only a very small part that comes from sort of [Technical Difficulty] to actually fund the [Technical Difficulty]. It won’t have any material impact on either our cash situation or our CapEx. There is no need for us to pay for the CapEx [Technical Difficulty] receivable. And like I said, we will keep monitoring.
Sumant Sinha: So, I think just to add to that, Angie, we are very well-capitalized [Technical Difficulty] large amount of cash. So, at this point, receivable is not causing us to pave any of our current plan. And also, typically, this time of the year, we do see receivables spiking because a lot of our decision happens in the monsoon months and that then tends to get paid out over the few months after that. So, [Technical Difficulty] in the normal course, it needs to come down. So, this is not entirely unusual but of course it is slightly elevated level than it normally would have been. So, we have sufficient cash buffer right now to take that into account.
Angie Storozynski: Very good. Thank you.
Sumant Sinha: Great. Thank you.
Operator: Thank you. And there are no further questions at this time. I’ll now turn the call back to management for any closing comments.
Nathan Judge: Thank you, everyone. We appreciate your interest. If you need anything, please feel free to reach out at ir@renewpower.in. Thank you very much.
Sumant Sinha: Thank you, all. Bye, bye.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect your lines.